Operator: Good morning. My name is Sylvie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Energy Fuels Fiscal Year 2022 Conference Call. [Operator Instructions] Thank you. Mr. Chalmers, you may begin your conference.
Mark Chalmers: Thank you, Sylvie. Good morning, good afternoon to everybody on the call. Thank you for joining our year-end 2022 call and webcast today. We are always excited to talk about our achievements and particularly our extraordinary achievements in 2022 as well as the significant accomplishments we have already made early in 2023. So, there's a lot to talk about. We have absolutely set the stage for a very exciting 2023. Energy Fuels has also absolutely emerged as a clear leader in U.S. critical mineral production. And that is at a time when this has never been so important. In the presentation, I will cover the highlights and the financials in detail. For those that cannot join the call today, we'll have replays of this presentation available for about two weeks, later today on our website. Also, I just want to remind everybody that you are controlling your slides in the presentation from your own device. And I'll try to remember to tell you when to advance to next slide. There will be questions -- or time for questions at the end of the presentation. I will be joined by Dave Frydenlund, our Executive Vice President and Chief Legal Officer; Tom Brock, our CFO; and Curtis Moore, our Senior Vice President of Marketing and Corporate Development. So, let's jump into the presentation. So the first slide is the slide showing the White Mesa Mill and also showing the fact that we are becoming America's leading producer of critical minerals for the energy -- clean energy transition. Next slide. I may be making some forward-looking statements, and those are included on the slide number 2. Next slide. Energy Fuels is the leading U.S. producer of uranium, vanadium and rare earth, creating clean energy for a better world. Next slide. Now this slide is interesting because it shows the periodic table. And Energy Fuels can currently produce or will be able to produce many of these elements that are now required for the clean energy technologies in the clean energy future. So, I'd just like to point out a few things. I mean, certainly, we have a long history as a uranium producer, but now we're emerging into this strategy of advancing our rare earth initiatives. And if you look down on the periodic table, in green, you can see a number of these elements, many of which I couldn't even pronounce back a number of years ago, but many of which are absolutely required for improvements in electrification. We also have a long history of vanadium production, and we are also going down the path looking at potentially recovering Radium-226 at the White Mesa Mill. Next slide. So really, the products that we produce or will be producing are all absolutely critical for these clean energy technologies, whether it be nuclear fuel assemblies, vanadium for vanadium flow batteries or the rare earth for high-performance permanent motor drivetrains, wind turbines or even including military defense like jets. Next slide. So, when you look at our product lines, they're all high value: uranium, which provides 50% of the zero carbon energy in the United States; rare earths required for these powerful magnets; vanadium used for steel hardening, but again, we're getting substantial focus on the grid scale batteries for the vanadium flow batteries; medical isotopes like the Radium-226 critical for emerging cancer therapies, potentially even providing cures for cancer; recycling of uranium and vanadium bearing materials; and substantial financial strength. We had $117 million of working capital at the end of 2022, but we also have large inventories of uranium and vanadium. And then, after the end of the year, we closed the Alta Mesa project sale for $120 million in February. And the numbers at year-end also do not include the DOE, uranium cell or the fact that we have substantial investments in companies like CUR. Next slide. So, when you look at our 2022 financial performance, as I mentioned, we had working capital of $117 million. That comprised of $62.8 million of cash and cash equivalents, $12.2 million of marketable securities and $38 million of product inventory. But when you adjust for the current commodity prices, there is a flex-up in excess of $20 million at current commodity prices. And I want to highlight zero debt, zero debt and up to $1 billion worth of assets at replacement value. Now, at the beginning of Q1 in 2023, as I mentioned previously, we made the sale of encore -- to enCore, the Alta Mesa project, consideration of $120 million, $60 million of which is cash, which we've received, and we also have a convertible note for $60 million. So, that is all coming into the first quarter of 2023. I also want to add that also -- and we announced both, the Alta Mesa sale and the uranium reserve in 2022, they didn't close in 2022. So, those funds did not report to the 2022 year-end. So also, we sold the $18.5 million of uranium with a gross margin on our uranium reserve sale of approximately $10.8 million. Next slide. So, I want to go into the net loss that we posted of $59.8 million. And a big part of that was the noncash mark-to-market loss on our investments primarily consolidated uranium, which accounted for 30% of that loss, again, noncash on investments. At the same time, we started up or in the process of starting up four uranium, vanadium mines and we started that activity about midyear. And so that started putting substantial cash requirements on starting up those four mines. And the beauty of that is that literally with a phone call, we could start mining uranium in less than 24 hours if we have to at one or two of those mines. We're also continuing to develop our commercial rare earth capacities, and we are making progress in leaps and bounds. We continue to optimize our rare earth carbonate production. We have proven that at commercial scale. And we are also continuing to process monazite, but we have had some delays in deliveries of monazite, which also impacted our 2022 economics. We recently received another 600 metric tons and we're processing that as we speak, and we expect to receive -- and this is material from Chemours, another 400 to 700 at year-end. So, on that front, we are also canvassing the world, looking to secure significant potentially additional monazite in 2023, and we're very excited about the prospects on that front. While at the same time, we've proven we can make a uranium and thorium-free carbonate, we are modifying and enhancing our solvent extraction circuit to recover separated oxides NdPr up to 1,000 tons, and we plan to have that available by the end of '23 or early 2024. And that in itself is a remarkable accomplishment. I talked about the Radium-226. We're advancing our medical isotope business and strategy. And at the same time, we had higher expenses for acquiring the Bahia Project and selling the Alta Mesa project. And at the end of that, when you start going back into commercial production, it doesn't come for free. We are investing in the future. And as I said, setting the stage for a very exciting 2023. Next slide. So, if you look at our guidance for 2023, we will sell 560,000 pounds of uranium in 2023. 300,000 pounds will be the closing of the sale to the uranium reserve at $61.57 price per pound. We're also going to sell in the second and third quarter 260,000 pounds at a price between about $54 and $58 per pound. Those are contract sales. Those are contract sales that start the beginning of our contract sales that cover a span of eight years. In the meantime, we plan to place one -- at least one uranium mine into production in 2023 or '24. It could be more than that, depending on the market. We're also seeking long-term uranium supply agreements at higher prices, and we hope that we can conclude additional long-term contracting in '23. The '23 will also be very focused on our rare earth initiatives plans. We're not planning currently to have any finished uranium or vanadium production, but it is always still possible. We will process -- as I mentioned, we have the 600 metric tons of monazite that's currently being processed right now, and we plan to receive additional monazite. And this is the material from Chemours only, later in the year. And while at the same time, we'll continue to process our rare earth separation capacities at the mill with the Phase 1 that we've been talking about that is capable of producing upwards of 1,000 metric tons of NdPr, but we're also doing the engineering and design for Phase 2, which is somewhere in the order of at least 3 times greater than that. This Phase 1 project that we're currently -- and we've ordered a lot of the equipment and materials required to put that -- those capabilities into our existing building is about $25 million, which is absolutely lowest -- probably the lowest cost separation you're going to see in the developed world and. And as I said, should be operable by the end of this year or early next year. And we continue to aggressively seek rare earth offtakes where we believe we'll be able to get offtakes and secure additional monazite feed. We also are rapidly advancing our Bahia Project in Brazil, and we've completed our Phase 1 drilling. We're looking at preparing the various technical reports for a resource there. And we also recently purchased a sonic drill rig for about $1 million. Next slide. So, if you look at our working capital of $117 million at year-end 2022, it doesn't include the sale of Alta Mesa for $120 million. Folks, that moves the needle pretty substantially when we close that in the first quarter of 2023. You also look at the significant inventories of uranium and vanadium that we have. And in that table, you look at what we're carrying. In our working capital the value of uranium on the books and you look at the price differential between what we're carrying uranium on the books under $30 per pound in current prices, and you see the same thing with vanadium and current prices. And when you look at the current prices, I mean, there is a lift in current value of well over $20 million not included in the working capital. And as I've said, when you look at the sales that we're planning, that 500 and what I said, 60,000 -- 560,000 pounds of sales in 2023, that will be revenue of over $30 million on uranium sales alone. Next slide. Our core business is uranium, always has, always will be. Many of you that know me know that I have been producing uranium, and in the uranium business, this year is coming up on 47 years. I'm an old dog that's not going to change direction when it comes to uranium. Next slide. Now, you've seen this slide many times. You've got the White Mesa Mill. And certainly, that is the hub of our critical mineral program, being able to recover the radium, the vanadium, soon to be separated oxides in one building, the existing building, while recovering the uranium in Southern Utah. In addition, Pinyon Plain mine in Arizona, which I built in the '80s is at preproduction. We have people working there right now. They're driving drift and they're readying that project. We have the Nichols Ranch Project, which is still on standby. And we also have people working at La Sal Complex also in preproduction getting it ready. And that's a uranium-vanadium mine, and that is where we could literally start mining today if we decide we need to do so. Next slide. So certainly, in 2022, securing long-term contracts -- three long-term contracts with two U.S. nuclear utilities was a significant accomplishment. And those contracts go out for eight years. The base quantity is 3 million pounds. If they flex up, it could be 4.1 million pounds. But at the same time, look at the changes in the wins that are happening with the U.S. government having bipartisan support for nuclear energy, look at the escalation of the Russian invasion of Ukraine and also look at some of the transport issues that are being impacted because of problems in Russia and Kazakhstan and getting product out of those countries. And as we said, we closed or got paid for the 300,000 pounds that we sold to the uranium reserve at a very nice price. Next slide. Now again, you've seen this slide a number of times, and it's an important slide because we still trade as a uranium company, we're in the middle of the pack. We have a very strong working capital position that does not include the sale of Alta Mesa or these uranium sales that we just made with the reserve and the contracts we have mid-year, zero debt, substantial infrastructure, significant uranium inventories that are on the books for under $30 or around $30 a pound and vanadium. When you also look at the uranium -- and everybody in that list is focused on uranium, and you look at the fact that Energy Fuels over the last 15 years has produced about one-third of the newly produced uranium in the United States. And you look at the list there between Cameco and Energy Fuels, the last 15 years, 85% of the uranium produced in the United States came from two companies. And Energy Fuels in the United States was absolutely the leader of the pack at that one-third with Cameco being about 50%. But we trade as uranium stock. Look at the rare earth. Look at the fact that we're secured Bahia. We've got an arrangement with Chemours. We've got a strong relationship with Neo. We've -- also advancing our ability to separate. We've proven our ability to crack and leach. That is not included as part of our market cap, in my opinion in a material way when we trade with uranium peers. Vanadium: vanadium, we have the only conventional vanadium plant in North America. We're proud of that. We have the ability to go back in the vanadium production in due course. And the medical isotopes, again, White Mesa is ideally suited to advance that initiative, and we are, and then, lastly, the ability to recycle, particularly in down markets. Next slide. So let's look at the growth drivers for rare earth. Next slide. So a complementary business opportunity is the uranium, the rare earth and how they fit perfectly with Energy Fuels mainly because the best rare earth feeds contain uranium that most others cannot produce or handle. Next slide. So, this slide is quite interesting because this is a slide prepared by the Department of Energy, and it shows how dependent the world has become on China. And if you look at this slide and you look at the mining, the separation, refining and magnet manufacturing. It just shows you how vulnerable we are to China and how big of a market share China has. And we're trying to reestablish that in the United States of America as we go forward. So this is actually quite a shocking slide. Next slide. Now we're showing the progress of our rare earth initiatives over -- since we announced we're getting into rare earth business in April of 2020 and also looking at the advancements and how quickly we were able to advance. So, we begin processing carbonate in '21 -- July '21. We began pilot scale separations in November of '22. We made a high-purity carbonate that is between 32% to 34% NdPr in March of ‘22. We acquired the Bahia project in February of 2023. We've started retrofitting our ability to do the separations, which we expect to have done at the end of '23 or '24. We're doing the engineering for -- being able to expand separation at the mill by 2026 as we secure more feeds on monazite. And lastly, Phase 3, looking out around 2027, looking at separations of the heavy rare earth. So again, remarkable progress. Next slide. So, if you look at the supply chain, we're truly building a capital-efficient and global rare earth supply chain. And if you look at what we're doing on the mining beneficiation stage, we're doing that today with natural monazite. The crack and leach today with a carbonate separation into this year, next year on separated oxides, and we continue to march down the list to get as far as we can on full integration. Now, if you look at that little picture of the world, you can see that we're truly building a global footprint when it comes to the rare earth business. Next slide. The Bahia project. The Bahia project, again, we closed that and very substantial. We closed that just recently, could produce -- provide monazite to us for decades between 3,000 to 10,000 tons of monazite. Very large land position, nearly 60 square miles. We're drilling it. We're advancing our permits. And as I said, we purchased a sonic drill rig, and we're looking at building a rare earth or a resource here in the not-too-distant future. Next slide. So just pictures of the rare earth production in the carbonate going to the Neo Performance Materials in Silmet in Estonia, pictures of the lower right-hand corner of our separation pilot scale, 72 mixer settlers. Next slide. And we've talked about the many advantages of why Energy Fuels will succeed when others have not on the processing of rare earth and it's our ability to handle and monetize the radionuclides, including the uranium from monazite. We have a long history with solvent extraction. We have the tailings facilities. We have the personnel. It's low-cost, capital-efficient, and also we're in the state of Utah we're very proud of. Next slide. So, if you look at our market position with other rare earth producers, you really look in the top 5 with MP, Lynas Iluka, our self, and Neo Performance Materials. Again, we’re valued as a uranium producer. And we think there's huge market upsized to showing the market, demonstrating the market this year, next year that we're able to commercially produce this material at very low capital and operating costs and get a substantial REE rate, particularly when you look at the value of NdPr, the value of the disposing the terbium that the monazite has. I mean these are high-value products and it will provide material revenue to the Company with what we believe a very material margins in time as we build out our strategy there. Next slide. So, we've talked about the vanadium and the ability to produce vanadium, the history of producing vanadium. Vanadium markets are improving. And also, we talked about the medical isotope strategy and that we're focused on that. That's farther behind the uranium, vanadium and the rare earth strategies, but it is a very exciting spot for us. Next slide. We're doing more on community engagement, ESG and recycling that we've ever done. Next slide. Looking at our products, they meet these ESG initiatives perfectly, uranium for zero carbon emissions; rare earth for these clean energy technologies for the future; the vanadium high strength and renewable power via grid-scale batteries; the isotopes I've talked about, the recycling history; and our sustainability report is truly a carbon reduction electrification document on steroids. We are a company on steroids when it comes to the energy future, electrifications future looking forward. On the community outreach, we've just made leaps and bounds there, focusing on more community consultation. We've made a long-term commitment with that with the San -- with our Clean Energy Foundation in San Juan County. We contributed $1 million to the foundation. And we're also committed to ongoing funding of that foundation equal to 1% of annual mill revenues. That foundation is supporting new and existing programs, focused on education, environment, health, wellness, economic development for the region as well as Native American priorities. Our recycling program reduces carbon emissions, long history there. And we're also -- and continue to make a pledge to help reclaim the Cold War mines on the Navajo Nation. And then the last slide basically shows that -- a really nice picture of the region, and it's a very bright future for Energy Fuels going forward. And before I open it up for questions, I think I might have, in my pile of slides, missed a slide, but maybe I haven't. So -- but I'll open it up for questions. No, I think I covered it all. So anyways, I'll open it up for questions. And that's the end of my presentation.
Operator: [Operator Instructions] And your first question will be from Heiko Ihle at H.C. Wainwright.
Marcus Giannini: Hey, guys. This is Marcus calling in for Heiko. Thanks for taking our questions. So, you bought a total of 301,000 pounds of U.S. origin uranium at an average price of about $8 during the fourth quarter of 2022 and first quarter of this year. Just out of curiosity and since you pointed out this domestic origin, can you provide a bit of color on the price differential between U.S. products and imports from outside the U.S. and maybe even products from outside of North America in general?
Mark Chalmers: Marcus, we're not seeing -- or at least I'm not seeing, and Curtis can chime in here if he'd like but a market differential. But if we see U.S. origin product at a price that we think is attractive to us, we'll continue to build our book with some selective purchases. Now one of the reasons, certainly, U.S. origin material now, you'd think it have a higher -- much higher value, but we know it should, but it also gives us more flexibility by doing some of those selective purchases where we can trade in to those with some of the material we have in inventory, and that can also give us some flexibility when we're mining, and we're processing the ores from our operations. Curtis, do you want to add anything there?
Curtis Moore: No, no, I don't. It's just -- yes, I mean, we don't see a huge differential in price. But when we see an opportunity to pick up some U.S. origin or any material at an attractive price, we're certainly going to look at it.
Marcus Giannini: Okay. All right. Perfect. Thanks for that. And then, I guess, sort of changing gears here, during 2022, you produced 205 tons of rare earth carbonate or monazite. We're mostly through Q1 at this point, and you've got another 600 metric tons of monazite in the fourth quarter. So, that gives you, say, 375 to 45 tons of rare earth carbonate. And keeping things simple, how much of that should we expect to see by quarter during the year? Should we just divide that number by four?
Mark Chalmers: It's a good point. I mean, it gets a little lumpy. I think probably that production will occur. And I'm going to guess that timing will be second quarter -- first, second quarter, anyways. And then there's this other material coming in later in the year and the timing yet to be determined. We got to get the material there and get it processed and then get it moved on to Neo or wherever we move it on to. So yes, again, Curtis, I don't know if you have any comments there.
Curtis Moore: No, I have nothing to add there.
Marcus Giannini: Okay, perfect. Yes. That's it for me. And congrats on the year.
Operator: Thank you. Next question will be from Joseph Reagor at Roth MKM. Please go ahead.
Joseph Reagor: I guess, first on the uranium front. Any comments on the Senate Bill introduced yesterday with the intention of banning uranium and enriched uranium imports from Russia, and how that might impact you guys directly?
Mark Chalmers: I think it's all work in progress. I mean, I think there's a huge wake-up call that look at how dependent we've gotten, and it doesn't make really any sense to continue that dependency. But at the same time, we’ve become so dependent that it's pretty hard to go cold turkey without those -- some of those nuclear products coming into the country. Yes, I haven't had a chance, Joe, to look at all that. Again, Curtis, I know you've had some other discussions in that regard. Is there anything you want to add there?
Curtis Moore: Yes. I mean, I think it's positive. I don't think that U.S. utilities and we don't think that U.S. utilities should be helping fund a war in Ukraine. The news had come out last month or so that Rose Adam was directly aiding in that, the war effort in Ukraine. But we also want to make sure that U.S. utilities, nuclear power plants aren't cut short. And so, we haven't had a chance to really review the legislation yet. But as I understand, it bans Russian uranium imports by I believe the beginning of ‘28 or ‘29. But starting in -- but -- actually, the band starts in 90 days, but they can get -- utilities can get waivers from that ban going out to ‘28 or ‘29. And so, I think that -- it's a ramp-down, which I think is positive. I do -- we are seeing -- I'd say, most U.S. utilities are looking to move away from Russian supply and the risks inherent also with Kazakh supply, particularly around transportation. And so, I think that's been one of the reasons we've definitely seen an uptick in contracting interest. Again, for our next tranche of contracts, we're looking for some higher prices, but discussions are definitely ongoing.
Joseph Reagor: Okay. That's good commentary. Second thing, Mark, you mentioned $25 million investment in the rare earth business for additional equipment. Any rough number on what the expected after-tax IRR is on that investment?
Mark Chalmers: I don't have an IRR on that. I mean, we have to fill the molecules that feed that, Joe. And in addition to Chemours, we're getting a lot closer on a number of those fronts. So yes, I mean, what's interesting in looking at our ability to separate, a lot depends on the cost of the monazite going in. And we're building a hybrid model that isn't directly tied to what we call the China price through acquisition of Bahia, the agreement we have with Chemours and some of the purchases that we're doing. But I can say this. We're very encouraged because of this low capital strike rate on that $25 million to be able to be in a position to do those separations. And we're also -- but it's really dependent, Joe, on what the cost of the monazite we secure and how that blends together with 2 or 3 of these sources that we either have right now going forward, so. But I can tell you, the strike rate itself is extraordinarily low.
Joseph Reagor: Okay. And then another thing on rare earth. Tesla made some comments a couple of weeks ago that they were -- the next generation of their cars would be going back to the engines that didn't use rare earth-based magnets. Any concern that this might impact the rare earth market domestically, the other manufacturers might follow suit for ESG reasons? Any thoughts there?
Mark Chalmers: We don't see any material impact. If you want the best performing electric vehicle, there are no smoking gun substitutions at this point in time, you get the most efficient electric motor. I mean, if you look at Tesla, they started as an induction motor company for electric vehicles, which did not include rare earth. And really, I believe it was a Model 3, they started putting rare earth into it. Yes, look, the people I've talk to that are very close to the rare earth market, including some of the trade groups, don't see it as anything immediate, and they don't see it as materially impacting the market. Now, it did shake up the market on the day, but I don't see any real concern on that front at all.
Operator: Next question will be from Mike Heim at NOBLE Capital Markets. Please go ahead.
Mike Heim: Thanks for taking my questions, a handful of them. First one, do you have a timetable where we might start to get a little firmer cost numbers on Phase 2 or even Phase 3 at White Mesa?
Mark Chalmers: We're planning to have a lot of that work done on Phase 2 this year. And so, I would say, later this year on Phase 2. We expect it to be, again, quite favorable in the scheme of developing these extra steps and extra capacity in the western world. And for the reasons that I've said that it's existing infrastructure, power, water, laboratory shops, people, all those things are already in place. So yes, I don't want to give an exact timeline at this point in time. But again, we think our strike rate is going to be -- and I think it surprises a lot of people because of the fact that it's an existing site that we're bolting on to. And in the case of Phase 1, we're in the existing SX building, and we're using the uranium mill for the crack and leach.
Mike Heim: Okay. Then moving on to the medical isotopes, is that the type of thing we'll be hearing developments over the next couple of years? Or is it really somewhat dependent on completing Phase 2 or Phase 3?
Mark Chalmers: No, it's not dependent on Phase 2 or Phase 3 at all. We've submitted a research and development application to the state of Utah. So, we're working through that. But the recovery of the Radium-226 is really largely focused on our mining of our conventional mines, not so much, at least at this point in time, on the rare earth processing.
Mike Heim: Okay. Then, a couple of questions on the Chemours agreement. Are they technically in violation? And is there any recourse to you, or given that you're kind of negotiating to extend beyond this year that that's nothing you would consider anyways?
Mark Chalmers: Well, a number of people -- certainly, yes, they didn't meet the obligations of that agreement. But we have a close relationship with Chemours, and we're working through the agreement and potentially other opportunities in due course. So, it's -- on the one hand, it's quite unfortunate because we are depending on that feed in the early days of our rare earth program. But on the other hand, they're still supplying. They're in the United States and they're working with us. And so yes, we're working it out with them.
Mike Heim: And have you ever said how long it might take for Bahia to get to the point of producing monazite?
Mark Chalmers: Well, we're kind of looking out 3 years-ish. I mean, we've got to complete the drilling. We do have a consulting company helping with the permits. There are some sort of smaller permits that are already in place. We're also talking to a number of heavy mineral sand producers that have expressed interest in Bahia and partnering perhaps in some capacity with us on that front. But we're thinking around three years. So again, as I said, we're -- between Chemours, Bahia, other purchases, other investments, we're trying to come up with what I call a sort of a hybrid approach to how we supply and feed the White Mesa Mill with molecules going forward.
Mike Heim: I hate to throw out a hypothetical, but if the Chemours agreement ends at the end of this year, you don't reach another agreement with somebody else and Bahia is three years away. Is there a chance that the rare earth element development stalls a bit?
Mark Chalmers: I don't believe so at all.
Operator: [Operator Instructions] And your next question comes from Puneet Singh at Eight Capital. Please go ahead.
Puneet Singh: Just a quick one on the decision not to recover uranium at the mill this year. If the price stays where it is, would you take the decision to add more alternate feed sources to produce uranium through the mill versus going to the market to build up inventory? Thanks.
Mark Chalmers: Well, look, one of the things that is unique with what we do is we can fill our contracts through our existing inventories. We build up alternate feed and typically pick our time when we decide to run it. We're planning to restart our mining. So, yes. I mean, the real focus on not looking -- and things can change. Not looking at making finished product right now is to get this Phase 1 for separated rare earth oxides keep the focus on that and getting that done this year and not having too many distractions. So, it is -- in itself, just getting this Phase 1 done in a year's time is a pretty big undertaking. Now, we're confident we're going to get it done. So it's really a bandwidth issue. And -- but things can change. So -- but it's really a bandwidth issue right now.
Puneet Singh: Okay. Thanks Mark. Yes. The only reason I asked is just because I know you get pretty good margins on the alternate feed. Thanks.
Mark Chalmers: Yes. And -- but the alternate feed, as I said, it -- we get deliveries from various sources, and then we let it build up and then we pick our moment when we want to recover it. But as I said, we've got -- we've got existing inventories. We've got quite material stockpiles of other sources of uranium sitting at the mill that we can run when we them -- pick the time to run it. So -- but it's really focusing on getting this Phase 1 constructed, modified this year and keeping the guys focused on that.
Operator: Did you have any further questions?
Puneet Singh: That was everything. Thanks.
Operator: Thank you. And at this time, Mr. Chalmers, we have no other questions. Please proceed with closing remarks.
Mark Chalmers: Okay. Well, again, I just want to thank everyone for joining the call, and those are joining later, thank you for listening to it. We're in an incredible position here. And as I said, I don't think that a lot of people understand the long history we have as a uranium producer, the assets we have, the ability to respond, the flexibility to respond. And then when you bolt on what we're doing on the rare earth front, this is a unique opportunity in my career and many people that work with this career because you don't see this potentially in a generation, maybe two generations. So we're really excited. Yes, the 2022, we had a -- we've spent quite a lot of money to get this flywheel going again. But in the first quarter with the close of Alta Mesa, these uranium sales, both the reserve and these contracts, we are in an absolutely perfect position. We have probably the strongest balance sheet of any company in North America, the uranium miners with exception of perhaps Cameco, which is definitely exception. And we're rolling. We're going. We're aggressive company. We're not reckless. And having a strong balance sheet, having the right people, having the right relationships are very important to us. And people know that we are doers. We are doers. And we are focused on building a substantial company that covers these critical elements on a number of these fronts that no other company that I know of in the world is focusing on. So, all I can say is we're working hard. We're focused. We're busy. And we think, again, 2023 is going to be a very exciting year for us, and we look to the future with significant optimism for what we're doing and how we're doing it. So thank you very much. We'll leave it at that, and look forward to other updates in due course as the year progresses.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. At this time, we ask that you please disconnect your lines. Have a good weekend.